Operator: Greetings, and welcome to the SiteOne Landscape Supply, Inc. Third Quarter 2022 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, John Guthrie, Executive Vice President and Chief Financial Officer. Thank you, John, you may begin.
John Guthrie: Thank you, and good morning, everyone. We issued our third quarter’s 2022 earnings press release this morning and posted a slide presentation to the Investor Relations portion of our website at investors.siteone.com. I’m joined today by Doug Black, our Chairman and Chief Executive Officer and Scott Salmon, Executive Vice President, Strategy and Development. Before we begin, I would like to remind everyone that today’s press release, slide presentation and the statements made during this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Such risks and uncertainties include the factors set forth in the earnings release and in our filings with the Securities and Exchange Commission. Additionally, during today’s call, we will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. A reconciliation of these measures can be found in our earnings release and in the slide presentation. I would now like to turn the call over to Doug Black.
Doug Black: Thank you, John. Good morning, and thank you for joining us today. We are pleased to continue our positive momentum during the third quarter, with solid growth in net sales and adjusted EBITDA despite the strong comparable growth and outsized gains in gross margin that we achieved in the second half of last year. We are also very pleased to add 7 new high-performing companies to SiteOne over the last 4 months, bringing our total number of acquisitions completed year-to-date to 14. All these companies have talented teams and terrific customer relationships, and expand our product lines and market presence in their respective markets. Through the execution of our commercial and operational initiatives, and through acquisition, we continue to build SiteOne as a world-class market leader for the long term and deliver consistent performance and growth in the near term. While we are seeing some early signs of softness in the residential market, we feel confident that we will finish 2022 well, and enter 2023 from a position of strength with our well-balanced business, strong balance sheet, exceptional teams, improved capabilities and robust acquisition pipeline. Overall, we expect to continue gaining market share and achieving strong performance and growth in the years ahead. I will start today’s call with a brief overview of our unique market position, and our strategy for long-term performance and growth, followed by some highlights from the quarter. John Guthrie will then walk you through our third quarter financial results in more detail and provide an update on our balance sheet and liquidity position. He will also comment on our recently announced share repurchase authorization. Scott Salmon will discuss our acquisition strategy, and then I will come back to address our latest outlook before taking your questions. As shown on Slide 4 of the earnings presentation, we have grown our footprint to more than 630 branches and 4 distribution centers across 45 U.S. states and 6 Canadian provinces. We are the clear industry leader, over 5x the size of our nearest competitor, yet we estimate that we only have about a 15% share of the very fragmented $23 billion wholesale landscaping products distribution market. Accordingly, our future growth opportunity is significant. We have a balanced mix of business, with 64% focused on maintenance, repair and upgrade, 21% focused on new residential construction and 15% on new commercial and recreational construction. As the only national full product line wholesale distributor in the market, we also have an excellent balance across our product lines as well as geographically. Our strategy to fill in our product lines across the U.S. and Canada, both organically and through acquisition, strengthens and reinforces this balance over time. Overall, our balanced end market mix, broad product portfolio and good geographic coverage offer us multiple avenues to grow and more ways to create value for our customers and suppliers, while providing important resiliency in softer markets. I would note that our balanced business mix will be very important as we navigate through 2023 and seek to overcome the expected softness in new residential construction. Turning to Slide 5. Our strategy is to leverage the scale, resources, functional talent and capabilities that we have as the largest company in our industry, all in support of our talented, experienced and entrepreneurial local teams to consistently deliver more value than our competitors to our customers and suppliers. We have come a long way in building SiteOne and executing our strategy over the last 6 years, but we are still in the third or fourth inning of our overall development as a truly world-class company. Accordingly, we remain highly focused on our commercial and operational initiatives to further build our capabilities and improve the value that we deliver to customers and suppliers. These initiatives are complemented by our acquisition strategy, which fills in our product portfolio, moves us into new geographic market and adds terrific new talent to SiteOne. Taken all together, our strategy creates superior value for our shareholders through organic growth, acquisition growth and EBITDA margin expansion. If you turn to Slide 6, you can see that we’ve built a strong track record of performance and growth over the last 6 years, with consistent organic and acquisition growth and good EBITDA margin expansion. Note that we have done this while investing heavily in our teams and in new systems and technologies to build the foundation for SiteOne and to create superior capabilities for our customers and suppliers. We’re still building and investing, and we remain confident in our ability to gain market share and continue driving all 3 of our value creation levers going forward. You will also note that we have now completed 78 acquisitions across the irrigation, lighting, agronomics, nursery, hardscapes and landscape supplies product line since 2014, with 14 completed so far in 2022. We only acquire well-run companies, and so all of these acquisitions were already high-performing companies before joining SiteOne. After they join us, we, together, enjoy the benefits of our combined commercial and operational capabilities. Acquisitions are also a key source of new talent and ideas and therefore, they enhance our competitive advantage as we grow. We’re having a good year this year on the acquisition front, and our pipeline of potential deals remains robust, with significant opportunity to continue growing through acquisition for many years to come. Slide 7 shows the long runway we have ahead in filling in our product portfolio, which we aim to do primarily through acquisition, especially in the nursery, hardscapes and landscape supplies categories. We are well networked with the best companies in our industry and expect to continue filling in these markets systematically over the next decade. I will now discuss some of our third quarter performance highlights as shown on Slide 8. We achieved 18% net sales growth in the third quarter, with 12% organic daily sales growth and 6% net sales growth added through acquisition. The organic daily sales growth was driven by 17% price inflation, partially offset by a 5% volume decline, which was an improvement from our 11% volume decline in the second quarter. Price inflation has proven to be more durable than we had previously expected, though it has begun to steadily decline over the last 4 months. At the same time, our volume improved during the quarter and is down low single digits in October. Overall, we believe that we are outperforming the market in terms of sales volume with our strong teams and focused initiatives. Gross profit increased 14%, and our gross margin declined 120 basis points to a very healthy 35.2%, as we did not repeat the exceptional gains from last year when prices were rising rapidly. We expect gross margin to be lower than last year, again in the fourth quarter, but modestly improved for the full year due to our strong gains achieved in the first half of this year. As we move into 2023, we will face gross margin headwinds like those we had originally expected for this year. However, we expect to achieve underlying improvements in gross margin through our initiatives to mitigate some of those headwinds. On the SG&A side, our operational initiatives and disciplined cost management were offset by lower volumes, elevated fuel and wage expenses and our continued investments in marketing, digital and operational excellence. Our acquisitions of hardscapes and landscape supplies companies also contributed to the SG&A increase as a percent of sales as these businesses operate with a higher gross margin and higher SG&A percentage. Accordingly, SG&A as a percentage of net sales increased by 110 basis points to 26.2%. The combination of good organic sales growth and a solid contribution from acquisitions allowed us to deliver adjusted EBITDA growth of 6% despite the gross margin and SG&A headwinds that we faced during the quarter. Adjusted EBITDA margin declined by 140 basis points to 12.3% during the quarter, reflecting these challenges. Overall, aside from the short-term fluctuations, we remain focused on driving underlying improvement in our adjusted EBITDA margin with the goal of 13% to 15%. In terms of our initiatives, we have continued to make good progress this year. On the gross margin side, we continue to grow with our small customers, drive private label growth and improve our inbound freight costs through our Transportation Management System, or TMS initiative. As price realization runs its course this year and in 2023, we expect to improve gross margin through these initiatives in the years to come. We have several initiatives aimed at improving our customer experience, while making our teams more efficient, thereby increasing organic growth and improving our SG&A leverage. MobilePro helps us automate our branch transactions, while allowing our associates to serve customers from anywhere in the branch site. We can serve customers quicker and more accurately, especially at our large nursery and hardscape sites, and our branch associates are more efficient, a win-win. We enhanced the functionality of MobilePro this year and have accelerated our rollout. By the end of 2023, MobilePro should be broadly deployed across SiteOne and part of the way that we do business. Dispatch track allows us to manage our outbound deliveries to customers and proactively update customers on the delivery status by text. Our customer feedback on Dispatch track has been very positive, and we expect all parts of SiteOne to be fully utilizing this new capability before the spring season next year. We have also recently completed the 2-year development and rollout of our new Salesforce customer relationship management system, which is designed to help our outside sales and sales support associates to better serve our medium to large customers. Going into next year, we plan to leverage this new capability to deliver more value to our customers and drive more intentional and consistent market share gains through our sales force. During the last 2 years, we significantly strengthened our digital team, and they, in turn, have accelerated our progress with siteone.com. Our field associates and customers are becoming more comfortable with the site as we have improved the ease of use and functionality to help landscape contractors run their business more efficiently. We will continue to add features to siteone.com and are excited to leverage it more fully in 2023 and beyond to bring market-leading value to our customers and gain market share. In addition to our technology-driven initiatives, we also now have a full-time operational excellence team in each major line of business, working with the field and with our newly acquired companies to isolate pain points and develop and implement operational solutions across the company. These solutions improve our associate efficiency and our customer experience to help us achieve adjusted EBITDA growth and improved adjusted EBITDA margin. Overall, we have ample opportunity to improve our customer experience and increase our operational effectiveness and efficiency, while expanding adjusted EBITDA margin in the years to come. On the acquisition front, we matched our record performance from the prior quarter, adding 6 high-performing companies to our family during the third quarter and 1 more since the quarter closed, bringing the total to 14 so far this year. These companies provide us with excellent new talent and capability for growth in their respective markets, while adding approximately $175 million in trailing 12-month sales to SiteOne. Our development teams remain very active in 2022, and we expect to continue adding strong companies to SiteOne in the coming months. With an experienced and recently expanded team, broad and deep relationships with the best companies, strong balance sheet and an exceptional reputation as the acquirer of choice, we remain well positioned to grow consistently through acquisition this year and for many years in the future. Moving to Slide 9. We are pleased to publish our third annual ESG report, which highlights the progress that we are making in delivering value to all our stakeholders. It is important to understand that our objective here at SiteOne is to build a company of excellence, one that creates exceptional value for our associates, customers, suppliers, shareholders and communities. So we do not view ESG as a separate initiative. To the contrary, these ESG enhancements are fully aligned with our overall vision and so they come naturally to us. Overall, we are pleased with our progress. But as mentioned before, we still have a lot of opportunity to improve across all facets of our business over the coming years. In summary, we continue to execute our initiatives and deliver excellent performance and growth despite the near-term headwind and uncertain economic outlook. As we look ahead to 2023, we now believe that inflation will be more persistent, which will help mitigate the softer residential market and continued pressure on volume. Overall, we remain confident in our ability to navigate through any market conditions, outperform the market and continue to build our company both organically and through acquisition. Now John will walk you through the quarter in more detail. John?
John Guthrie: Thanks, Doug. I’ll begin on Slide 10 with some highlights from our third quarter results. We reported a net sales increase of 18% to $1.1 billion in this quarter. There were 63 selling days in the third quarter, which is consistent with the prior year period. As a reminder, we have 60 selling days in the fourth quarter of this year, which is 1 less than the fourth quarter of last year. Organic daily sales increased by 12% in the quarter driven by price inflation, resulting from product cost increases from our suppliers, partially offset by lower volume resulting from higher prices and softening economic conditions. Acquisitions continued to perform well, contributing approximately $57 million or 6% to our third quarter net sales growth. Scott will provide more details regarding our acquisition strategy later in the call. Organic daily sales for landscaping products, which includes irrigation, nursery, hardscape, outdoor lighting and landscape accessories, increased 15% for the third quarter due to price inflation as prices for products like PVC pipe and drainage remain elevated compared to the prior year. Organic daily sales for agronomic products, which includes fertilizer, control products, ice melt and equipment, increased 5% for the third quarter due to price inflation resulting from rising product costs, partially offset by reduced volumes from higher prices. Prices for agronomic products like fertilizer and grass seeds remain elevated, and we believe these higher prices have reduced short-term demand as our customers deal with constrained maintenance budget. Geographically, we continue to see variation across markets. In the Sun Belt, we saw solid organic daily sales growth of 15%, while in Northern more seasonal market, we saw organic daily sales growth of only 8%. The lower sales growth in the northern markets is attributable to less favorable weather and a greater percentage of agronomic product sales. Price inflation continues to play a major role in organic daily sales growth for both landscaping products and agronomics products. We estimate price inflation contributed 17% to our organic daily sales growth for the quarter as we continue to see elevated prices on a year-over-year basis. We expect, as we comp last year’s price increases, the impact of price inflation on our organic daily sales growth will moderate through the remainder of 2022. However, based on the cost increases already made this year and the anticipated cost increases from some key suppliers in the fourth quarter, we believe pricing will remain a positive contributor to growth through the remainder of this year and into 2023. On the volume side of the growth equation, results for the third quarter were negative, but improved in comparison to the second quarter. Volume growth was negative 5% for the third quarter compared to negative 11% for the second quarter as we benefited from more favorable weather and more reasonable comps. For the remainder of fiscal year 2022, we expect volume to continue to improve, though remain negative. Gross profit increased 14% to $389 million for the third quarter. Consistent with our expectation, gross margin decreased 120 basis points to 35.2% as the large price realization benefits achieved in the third quarter of 2021 were not repeated. Selling, general and administrative expense, or SG&A, increased 23% to $289 million for the third quarter. SG&A as a percentage of net sales increased 110 basis points to 26.2% due to increased operating expenses supporting our growth, cost inflation and the impact of acquisitions. We are experiencing the impact of inflation on SG&A as the cost of wages, fuel, travel and general branch operations have all increased this year. In addition, our acquisitions have positively impacted our gross margin, but also negatively impacted SG&A due to their higher operating cost structure. The impact of acquisitions accounted for most of the increase in SG&A as a percentage of net sales this quarter. For the third quarter, we recorded income tax expense of $22.9 million compared to $19.1 million in the prior year period. The effective tax rate was 23.8% compared to 19.3% for the third quarter of 2021. The increase in the effective tax rate was due primarily to a decrease in the amount of excess tax benefit from stock-based compensation. We realized $1.9 million in excess tax benefits in the third quarter compared to $6.5 million for the prior year period. We recorded net income for the third quarter of $73.3 million compared to $80 million for the prior year period. The decline in net income was primarily due to the lower gross margin and higher SG&A expense. Our weighted average diluted share count for the third quarter was 45.8 million, which is comparable to the prior year period. Adjusted EBITDA increased by 6% to $136 million for the third quarter compared to $128 million for the same period in the prior year. Adjusted EBITDA margin, reflecting our lower gross margin, decreased 140 basis points to 12.3%. Now I’d like to provide a brief update on our balance sheet and cash flow statement, as shown on Slide 11. Net working capital at the end of the third quarter was $869 million compared to $715 million at the end of the same period in the prior year. The increase in net working capital is primarily attributable to higher receivables resulting from our strong sales growth and increased inventory due to cost inflation, supply chain uncertainty and strategic inventory buys ahead of price increases. In the third quarter, we saw inventory start to come down due to improved product supply and normal seasonality. As product availability and lead times from our suppliers have improved, we no longer need to carry as much inventory in our distribution centers and branches. We expect this trend to continue in the fourth quarter and into next year. Net cash provided by operating activities during the quarter increased to $136 million compared to $67 million for the prior year period. The improved cash flow was primarily due to the actions we took in the third quarter to reduce working capital. We made cash investments of $66 million for the quarter compared to $15 million for the same quarter last year. The increase in cash investments reflects our increased acquisition activity during the quarter. Net debt at the end of the quarter was approximately $377 million compared to $208 million at the end of the prior year period. The increase in net debt reflects higher borrowings to fund our acquisition investments and increased working capital. On July 22, we amended our asset-based loan or ABL facility by extending the maturity to July 2027 from February 2024 and increasing the size to $600 million from $375 million. As a result, we increased our liquidity at the end of the quarter to $515 million, which consisted of $63 million of cash and approximately $452 million in available capacity under the ABL facility. Leverage at the end of the third quarter increased to 0.8x our trailing 12-month adjusted EBITDA compared to 0.5x at the end of the third quarter of 2021. The higher leverage reflects our increased borrowings resulting from acquisition investment and increased working capital. Our long-term year-end target net debt to adjusted EBITDA leverage range remains 1 to 2x. On October 20, 2022, our Board of Directors approved a share repurchase authorization for up to $400 million of our common stock. The share repurchase authorization does not have an expiration date and may be amended, suspended or terminated by the Board at any time. As shown on Slide 12, we believe this new repurchase program complements and provides balance to our existing capital allocation strategy. Our primary goal with regards to capital allocation is to invest in our business, including the execution of our acquisition strategy. We are also committed to maintaining a conservative balance sheet as demonstrated by our target leverage ratio. To the extent we have excess capital after achieving these objectives, the share repurchase authorization will provide us the mechanism to return capital to our shareholders. In summary, our priority from a balance sheet perspective is to maintain our financial strength and flexibility without sacrificing long-term growth or market opportunities. I will now turn the call over to Scott for an update on our acquisition strategy.
Scott Salmon: Thanks, John. As shown on Slide 13, we acquired 6 companies during the third quarter and 1 company since the end of the third quarter, bringing our total to 14 for 2022 so far, with a combined trailing 12-month net sales of approximately $175 million. Since 2014, we have acquired 78 companies with approximately $1.4 billion in trailing 12-month net sales added to SiteOne. Turning to Slides 14 through 20, you will find information on our most recent acquisitions. On July 22, we acquired River Valley Horticultural, a wholesale distributor of nursery, hardscapes and irrigation products with a single location in Little Rock, Arkansas. River Valley established as a nursery platform for SiteOne in Central Arkansas. On August 11, we acquired Cape Cod Stone, a wholesale distributor of hardscapes product, with 1 location in Orleans, Massachusetts. Cape Cod expands our natural stone product offering to our New England customers. On August 12, we acquired Linzel Distributing, a wholesale distributor of outdoor lighting and landscape supplies with 1 location in Hamilton, Ontario, Canada. The addition of Linzel expands our product offering with our Eastern Canadian customers. On August 18, we acquired Jim Stone Company of Louisiana, a wholesale distributor of natural stones and other hardscape products. Jim Stone’s 3 locations extend SiteOne’s hardscape product offerings across all Southern Louisiana. On August 31, we acquired Stone Plus, a wholesale distributor of hardscapes and landscape supplies with 3 locations in Northeast Florida, significantly expanding these product lines into new markets in Florida. Also on August 31, we acquired Kaknes Landscape Supply, a wholesale distributor of nursery products with 1 location in Naperville , Illinois, a suburb West of Chicago. Kaknes further strengthens our growing nursery presence in the Chicago market. And most recently, on October 13, we acquired Madison Block & Stone, a wholesale distributor of natural stone, pavers and landscape supplies with 1 location in Madison, Wisconsin. The addition of Madison extends our hardscapes product offering into a new market. These acquisitions led by strong entrepreneurs add excellent talent to SiteOne and move us forward toward our goal of providing a full line of landscape products and services to our customers in all major U.S. and Canadian markets. Summarizing on Slide 21, our acquisition strategy continues to drive significant value for SiteOne. Our team of over 70 former owners, together with our experienced field leadership, create a dynamic and exciting culture, which makes us even more attractive to owners considering a transition of their family business. Our laser focus on landscape distribution gives these entrepreneurs tremendous confidence that when they joined SiteOne they are joining the long-term market leader who will provide their associates with strong support and nearly endless opportunities for career growth and success across North America. We are pleased with our M&A momentum and the ongoing strength of our pipeline. We have a highly capable team an excellent reputation and a strong balance sheet to fund our acquisition strategy in both strong and challenging market conditions. We are confident that we will add more outstanding companies to SiteOne across the U.S. and Canada throughout the rest of 2022 and for years to come as we build SiteOne’s capability to provide more value to our customers and suppliers. I want to thank the entire SiteOne team for their passion and commitment in welcoming the newly acquired teams when they joined SiteOne. Their leadership and efforts are the key to our long-term success in building our company. I will now turn the call back to Doug.
Doug Black: Thanks, Scott. I’ll wrap up on Slide 22. As we finish 2022, we expect price inflation to remain resilient while continuing to moderate during the remainder of the year and into 2023. As mentioned, we are currently seeing low single-digit volume decline, reflecting the softer residential market. We expect organic daily sales growth to moderate along with price inflation as we move into 2023. In terms of end markets, we are beginning to see some slowdown in residential new construction, which comprises 21% of our sales. With home price inflation and higher interest rates, homebuilders are seeing less demand and are being more cautious in terms of new starts. We would expect this softness to continue with moderate declines in 2023 versus prior year. In contrast, new commercial construction representing 15% of our sales, has remained strong with a healthy bidding activity and good backlogs. We expect this market to continue to be healthy in 2023. Major repair and remodel, which comprises 27% of our sales has also remained strong with only a few parts of the country developing some softness. Typically, in a downturn, major repair and remodel has proven to be more durable than new construction, and we expect that to be the case both this year and in 2023. Note that low unemployment and high home values both support the major repair and remodel market. Finally, the maintenance end market, which comprises 37% of our sales has typically been steady in past downturns. Accordingly, the maintenance dollar demand for our customers has remained steady, and we expect that to continue in 2023. In total, we expect our end markets to provide a reasonable foundation for us to execute our strategy and gain market share as we deliver higher value to our customers and suppliers. We now expect to achieve low double-digit organic daily sales growth for the full year 2022, mostly driven by price inflation. As mentioned, we continue to expect our gross margin for the full year to be slightly higher than last year, offset by SG&A, which will also be higher than last year as a percent of sales. We expect our adjusted EBITDA margin to be slightly below our record 2021 level. In terms of acquisitions, as Scott mentioned, we have a strong pipeline of high-quality companies and look forward to adding more of these to the SiteOne family during the year. Our acquisitions are performing very well, and we continue to improve our ability to integrate them into our company. Accordingly, we expect acquisitions to contribute strongly to our performance and growth in the remainder of 2022 and the years ahead. With all these factors in mind, we are increasing our expectation for fiscal year 2022 adjusted EBITDA to be in the range of $455 million to $470 million, which represents year-over-year growth of 10% to 13%. This range does not factor any contribution from unannounced acquisitions. In closing, I would like to sincerely thank all our SiteOne associates who continue to amaze me with their passion, commitment, teamwork and selfless service. We have a tremendous team, and it’s an honor to be joined with them as we deliver increasing value for all our stakeholders. I would also like to thank our suppliers for supporting us so strongly and our customers for allowing us to be their partner. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is from David Manthey with Baird.
David Manthey: Doug, when you were referring to gross margin in 2023, you said you expect underlying improvement. I just want to press on that word underlying quickly just to see what you mean by that relative to overall. And then it sounds like you’re saying that you feel the benefits from price costs have rolled through your inventories and are complete at this time. With stable pricing ahead, you’re saying that we shouldn’t see downside to gross margin. But if we do see more softness than you expect, we could see lower gross margin overall. Just any thoughts you could share there.
Doug Black: Yes. Well, I’ll start off and then maybe have John add in. When I’m talking about underlying improvement, we have the outsized gains that we achieved through price realization in 2021. We’ve actually, in 2022, repeated those gains essentially. And as you know, our gross margin -- we expected kind of a reset of gross margin in ‘22, and we didn’t really realize that based on a really strong first half of this year, we’re seeing gross margins now that are lower than last year. So we’ll end up the full year ‘22 slightly ahead of 2021. And so we do expect that reset in price realization now in 2023. My point on underlying improvement is that reset aside, the underlying gross margin we expect to continue to make gains, but that will be overcome, and we will have a gross margin headwind in terms of the reset that we expected for this year and didn’t get this year. John, do you want to add to that?
John Guthrie: No. I think you’ve hit on the key points there. To really the next 3 quarters. I mean, this quarter, you saw that and then really into the first half of next year where the kind of the outsized gains from that price realization if we have a more stable pricing environment, more typical. We will -- those will face that tough comp from a comp perspective. And -- but then we’re trying to offset that with the initiatives that Doug referenced.
David Manthey: Got it. Okay. So yes, if we look back to like 2019, clearly, there’s improvement once we cancel out all the noise from the pricing. Okay. And then my second question is, are you surprised that landscape product volumes are holding up better than agronomics right now? And anything about the market you’re seeing today, does it change your view on maintenance holding up through a garden-variety downturn?
Doug Black: No, great, great question. I wouldn’t say we’re surprised. We’re pleased, obviously, that the landscape products volumes are less negative, essentially are kind of improving. Maintenance, what’s going on with the maintenance market is that when you think about maintenance, the dollar budgets are pretty fixed. Think about golf course budgets or city budgets or anybody’s maintenance budgets, those get fixed at the year. So that the rapid price increases really put pressure on our customers and our customers’ customers. And we do see some dialing back of -- or moving to lower-cost products, dialing back of usage. These things fertilizer and seed where they can kind of get by with less. And so we do see kind of less demand driven by that. We think that will smooth -- that smooths out over time because they got to get back to keeping the grass green and kind of full usage at some point. And so that’s kind of what we see going on in the weather. We’re having a maintenance up in the northern markets. Weather hasn’t been that cooperative in those markets as well. So we’ve got a couple of other things going on there. But we feel very good about as we think about the dollar demand as prices kind of level out or budgets or reset this year going into next year to accommodate the increased inflation, et cetera. We think usage -- there might be even a little bit of upside for next year in terms of a volume perspective for the maintenance market. So those are the trends that we’re seeing in maintenance.
Operator: Our next question is from Stephen Volkmann with Jefferies.
Stephen Volkmann: Great. Maybe just to drill down a little more on this price thing, Doug, because that seems like it has sort of changed a little bit. Is there any reason that to expect at least kind of mid-single-digit pricing in ‘23 sort of from all the carryover, even if nothing else gets done, there’s been so much in ‘22, I assume the carryover kind of gets you there?
John Guthrie: We would say the carryover right now is low to mid-single digits right now. And what we’re seeing right now, we’re seeing some additional price increases much smaller than this year. And then potential risk on the commodity. So I think we’re really not ready to completely finalize where pricing is going to be right now, but I would say current forecast for carryover into next year -- and obviously, this will be more higher in the beginning of the year than at the end of the year, would be probably low to mid-single digits.
Stephen Volkmann: Okay. All right. And maybe sort of the corollary to that, what percent of your product do you think is sort of potentially going to see price declines that you’ll have to sort of pass through?
John Guthrie: We think it is about 20% of our product that is -- has a commodity component to it. Some of it is already seeing some decreases from the very peaks, I mean, on a year-over-year basis, but like PVC pipe, we’re starting to see the first of those decreases. I mean that’s a small, much less than 5% of our sales, but still something that we’re watching closely. So as we’ll monitor those components as flow through. And next year, honestly, we -- on the 80%, we’re not saying that’s going to be even flat. I mean I don’t think we’ll see kind of the large increases we saw this year, but there still may be some price upwards on that specific product balanced with some potential downside on the 20% commodities.
Stephen Volkmann: Got it. Okay. And then just finally and I’ll pass it on, on SG&A., is there an opportunity in a sort of slower or maybe more normal environment? Is there an opportunity to get at some of the SG&A or maybe that just is the investment you need to keep growing?
Doug Black: Yes. Well, we manage SG&A closely while making investments. But certainly, if certain markets are down, then we can pull back the majority of our SG&A is people cost and we can staff appropriately for the market that we’re given in certain markets. We run our business very locally from that standpoint. So we have a lot of flexibility to adjust to specific market conditions as they come around. So I think the broad answer is, yes, we can manage SG&A as we see the demand trends developing in any particular market. John, anything you want to add?
Operator: Our next question is from Matthew Bouley with Barclays.
Matthew Bouley: So I guess on the new buyback authorization, I have to ask the question of sort of what that signals around the M&A program? Anything if that signals around -- or what you’re seeing around private multiples, excuse me, what that means around organic growth investments, really just either of those kind of reaching a stage of shifting to a lower gear or really, is this just a reflection of the balance sheet kind of now having capacity to do all of the above?
Doug Black: Yes. It’s very much the latter. Our -- as we mentioned, our strategy is in full gear. Acquisition program is quite robust, and we’re continuing to invest in the business. But as you know, we’re running -- our target range of debt -- EBITDA to net debt is 1% to 2%, and we’re running below the 1%. And so it’s prudent to think that we might use our flexibility of the share repurchase authorization to return some capital if, in fact, we have excess capital. But as we become a more profitable company as we manage our supply chain and things settle down from the COVID. Our cash flows, we anticipate will be quite strong. So it’s simply bringing on that flexibility to make those decisions as they come up. But still very excited. We’re in the third or fourth inning of our development as a company. And our strategy is -- we’re accelerating our strategy, if anything, at this point in terms of investment and certainly think that the future pipeline of acquisitions is quite attractive.
Matthew Bouley: Got it. No, that’s really helpful color. And then I guess second one just zooming into the near term, the commentary around improving volume trends. So Q3 down less than Q2 was, and then October, I guess, improving down to low single digits. I mean, could you, I guess, #1, remind us if the comps were any easier, kind of how that played into it? I know you mentioned a few comments around share gains. Any kind of view on how that -- how your growth is looking relative to the market? Or really just kind of any additional color on what’s sort of supporting that lessening volume decline.
Doug Black: Yes. So definitely, the comps on a volume standpoint were easier this year in the second half than they were in the first half. So that’s contributing not necessarily easier in the in the fourth quarter than they were in the third quarter. So the fact that we improved from second to third makes sense from a comp standpoint. The fact that we’re still kind of seeing that improvement is very pleasing to us because that’s more of our performance and less around comps. We’re confident, we continue to build our capabilities to gain market share, and we track ourselves information from our suppliers and looking at our competitors. And we feel confident that we’re gaining market share. And we think our ability to gain market share is going to continue to improve as we go forward with our new technologies, with -- we mentioned the CRM with our sales force, with our initiatives around small customers. We just have a lot of levers to get out there and gain market share, our private label brands, LESCO and PRO-TRADE. And so we feel pretty good about our ability to do that. And certainly, as we go into 2023, which we know will likely be a tougher year, we’re going to be full guns blazing to win market share through a better customer experience and through just better value to our customers. So we’re excited about that. We do feel that we’re gaining market share and running a bit ahead of where the market is. And we’re going to continue to try to accelerate that capability going forward.
Operator: Our next question is from Ryan Merkel with William Blair.
Ryan Merkel: I wanted to follow up on the volumes decline in 4Q. Is the main driver slower new residential construction? And if that’s the case, how much is it tracking down right now?
Doug Black: Well, it’s tough for us to tell exactly how far down it’s tracking. You can get the reports in terms of starts, et cetera, being down versus last year. But it is primarily that the residential new construction market is where we’re starting to see softness. I mean we’re still at good levels there, but we’re seeing builders being more conservative and our customers that serve builders are less busy than they used to be. As mentioned, the other markets, though, are very solid. And if we take our customers all together, they’re still busy. And they have backlogs going into next year. I mentioned the commercial market. Our Project Services team that does commercial bidding is still bidding more now than they did this time last year. And we’ve got good backlogs. Commercial is where we can see further into the future, and we’ve got very good backlogs going into next year on the commercial side. So we feel right now that going into 2023, the main softness will be in residential new construction. And as I mentioned, we’re planning to -- with our full product line and across our -- all customer segments to work hard to try to gain market share to overcome some of that softness.
Ryan Merkel: Got it. As a follow-up, are you seeing the consumer pullback on upgrade projects like patios, fire pits, outdoor lighting? Is that something you expect in ‘23?
Doug Black: Well, there’s 2 parts to the consumer side. There’s the retail, do-it-yourself side, which is a very small part of our business, but it is part of our business. We definitely see that market is softer. And so those sales are down -- it’s a couple of percent of our business, but you can see it being down. On the professional side, the professional side is still solid. Folks have projects. As you know, our folks that do professional repair and -- the bigger backyard jobs that they’re doing it for the customer. They haven’t been able to -- they’ve had backlogs that they couldn’t get to for a long time, they’re still busy. And so we’re still seeing good demand in that side of the market, the professional side of the market. And if you look at the HIRI predictions, they’re continuing to predict that next year in 2023, the professional side of remodel is going to be stronger than the do-it-yourself side. So that gives us some hope, I guess, that, that will continue to be strong.
Ryan Merkel: That’s helpful. Okay. Last 1 for me, just back on the gross margin question. Is there any way to tell this [ring fence] what you think the price/cost timing give back will be in ‘23, I think maybe you said 90 to 100 basis points in the past, but it would be helpful to get a little clarity there as we’re thinking about our 2023 models?
John Guthrie: We’re not ready to give full guidance on 23 yet. But that 90 to 100 basis points that we kind of talked about going into this year. That’s probably a pretty good start for next year just because kind of the dynamic that we had in our model at the beginning of this year has really been at least pushed into next year from that perspective because of the strong price that happened in the first half of this year.
Operator: Our next question is from Mike Dahl with RBC Capital Markets.
Mike Dahl: Doug, just wanted to not too much on volumes, but I wanted to ask a couple more questions there. I think you termed it as maybe moderate declines in new construction. And clearly, the build order trends are down fairly meaningfully. Starts are following. So any way you could just give us a little -- I know it’s early, but a little sense of just when you think about moderate declines, ballpark what that means to you? And is that potentially less meaningful because you’re coming in late at kind of the finishing stage. So could you with a lag -- anything around that would be good. And the bigger picture part of that is when I kind of add your comments together, it sounds like you’re planning for a flattish market maybe next year initially, but maybe you can comment on that blended volume, what your initial thoughts are?
Doug Black: Yes. Well, again, we’re not giving the full guidance for next year. But when we -- when I say moderate declines, actually , that can be a range we do lag starts, right? So we’re going to get less of a -- starts are -- go down further next year, et cetera, we do lag that 3 to 6 months. So that will soften, I guess, the site 1 effect in 2023. And -- but new res is going to be down, right, and we can debate the wording, but we don’t plan to experience any different trends than you’re reading in terms of starts, et cetera, except that we will lag those put a 3- to 6-month lag on those numbers. And then the other markets, we’ll see how it goes, but we expect them to be calm solid. So I don’t know if that comes up to flat or slightly down. We’ll talk about that when we get to the end of the year. But the one thing that we will do is make sure that we’re equipped to gain share and outperform whatever market evolved in 2023, and we do feel confident that we can do that. So when you put all that together, we’ll talk about it at the end of the year where we think that ends up for the full year. But those would be the factors. And that lag on starts, we would correlate more with completions than starts. So you can use those numbers to predict next year.
Mike Dahl: Yes. Okay. Fair enough. That helps. And then my second question, maybe just on the commodity pricing piece and trying to gauge the dynamics there. I think the comment on pricing was -- you’ve seen some steady declines now over the past 4 months. Any way you can quantify on the commodity side how much prices have come off over the past 4 months? And what that means on where commodities are sitting on a year-on-year basis today?
John Guthrie: Well, I think it’s a little premature to break that completely down. I mean what we can say is kind of price inflation peaked at the -- at Q1 of this year when we were at about a little over 20%. We were 17% this quarter, and we’re exiting the year just on a year-over-year basis still double digits, but significantly less than the 17% as we talked about moderating less than the 17% as we talked about moderating. So in Q4, we’ll have to see, but we’ll be in the low to mid-teens for price realization. And a lot of that is comping last year’s prices, but also some of the commodities coming off.
Operator: Our next question is from Keith Hughes from Truist.
Keith Hughes: A previous question on maybe was in the intro. You talked about you’re still getting some price increases coming in. I think they’re pretty small, but can you just talk about what products are raising price now? And I was interested your comments on PVC about it rolling over, if you give any kind of magnitude of what you’ve seen so far on that?
John Guthrie: So we’re -- we know there’s going to be some price increases in -- for some irrigation parts. And then we know there’s also going to be some price increases in -- for certain chemicals. These are not the commodity products, but more high-end products that maybe haven’t realized the full benefit flow increases as they haven’t gone up as fast. Those would be 2 examples of things. We’ll have to see really a lot of pricing goes in, in Q1 of next year. So we’ll have to see. But I don’t think anybody’s talking from our team, nobody is talking about as larger increases as we saw this year, but more modest, more typical type of increases. I want to say PVC pricing is -- I mean, this is -- you can probably go online and see it better, but my number is that we might see 10% to 15% decrease in PVC…
Keith Hughes: And that’s occurring right now, is that correct?
John Guthrie: Yes.
Operator: Our next question is from Jeff Stevenson for Loop Capital.
Jeff Stevenson: Congrats on the nice quarter. I just wanted to talk more about the opportunity for inventory destocking moving forward now that material availability challenges have improved. Would you expect this largely to occur in the fourth quarter or could destocking continue in the early next year?
John Guthrie: I think it will transfer into next year somewhat. I mean, there’s normal destocking that will happen in the seasonality of the fourth quarter so you would expect kind of that to happen in normal course. I think it will be accelerated because we do have some excess inventory. But we’re a very seasonal business. Some of the products that were heavy in really won’t sell until spring of next year. So there will be -- it will flow out probably over the next 12 months as we work through this. But we made progress this quarter. We’ll continue to make progress next quarter. And I think our goal is to get to 4.5 inventory turns -- and in the short term to get back to 4 turn, I don’t think it is an unrealistic goal for us to achieve next year from that perspective.
Jeff Stevenson: Understood. That’s very helpful. And then since you mentioned it, I just wanted to get an update on the progression of siteone.com. Obviously, you’ve seen it as an opportunity to gain shares with small and midsized customers, maybe weren’t as in front of previously? And just wondered how successful that has been over the last year and kind of your expectations as kind of we move into 2023 of the potential share gain opportunities from siteone.com.
Doug Black: Yes. Well, it’s one of the tools that we’re using to differentiate ourselves from the competitors. We’ve worked on the functionality and the ease of use and kind of dialing in the tool with our customers. We’re pleased with our progress there. We’re seeing increased -- we’ve doubled the activity in sales that we’ve had this year, still from a very low base. But we’re excited that we’re going to be able to kind of use that tool more aggressively in 2023 to gain share with the smaller customers. It’s also a great tool for our larger customers as we integrate with their systems and then they can just seamlessly order with us. We’re now connected into QuickBooks from an accounting standpoint, so the numbers go straight in from our invoices into their QuickBooks financial system. So there’s just some neat developments that we’ve been able to achieve this year, which push us forward strongly in terms of having it be a tool that we can use to differentiate ourselves. So we’ve made good progress this year. 2023, we expect that to accelerate, given the team we’ve got and the tool that we now have.
Operator: Our next question is from Andrew Carter with Stifel.
Andrew Carter: I did want to ask, I don’t know if you were willing to parse it out, but could you give the pricing of like structural items versus index price items in the quarter. And I’m just wondering, given how pricing has come in so strong -- and I get it, you come in at a lag, but Urea PVC, I assume other indexes are pretty deflationary. Is there the potential that some of this kind of massive kind of index cycle pricing actually could be held as you and your competitors have structural considerations? And I would assume your competitors follow you in terms of pricing.
John Guthrie: I don’t think we have the specific breakdown by that level of detail on the call right now. I think it’s more of a blended number. From a structural perspective, I think -- I don’t think we are -- well, I like to think we could say that. I think we have to be more competitive in the marketplace. I think on the -- and to think, especially with the commodities that we would be able to maintain, I think significantly higher and hold price when commodity is going down, I don’t think that’s realistic. The market is -- market’s very orderly both on the upside and downside from that standpoint. And so I think that the expectation is that would be -- we have to be competitive with regards to those products from a pricing. So if the price in the market in general is going down, we’ll have to be there from that perspective.
Andrew Carter: And just one final one. Why, if I’m correct here, $15 million of variance in the fourth quarter, that’s 25% EBITDA year-over-year. Anything kind of specific to that variance? And you didn’t mention it at all, but did the hurricane -- or did the Florida hurricane create any near-term disruption or any disruption in the fourth quarter or also any opportunities?
John Guthrie: I’m not exactly sure the variance you’re talking about. But with regards to the hurricane, it’s probably -- I mean, we did have to shut down our stores in Florida for roughly a little less than a week. But probably the impact overall was $5 million to $6 million for that. Some of that, ultimately, we would maybe catch back up with, but obviously, most importantly, none of our -- all of our employees were survived the hurricane in reasonable shape and our stores also did not have any damage, but obviously, we took precautions from a safety perspective.
Doug Black: Yes. I think you’re talking about the variance in our estimate for the fourth quarter and what’s out there in the Street. And just to remind that the fourth quarter is one of our lower sales quarter of the year. Lot of things can happen in the fourth quarter. It can be weather impact, trends in gross margin like price realization are outsized in the fourth -- with the smaller amount of sales. So no -- there’s no long-term trend in our performance in the fourth quarter. We feel like we’ll finish the year solidly. We have to be cautious around predictions when it comes to kind of weather and margin, et cetera. And then we’ll enter 2023 from a position of strength to really outperformed the market and deliver good performance. So nothing to read into, I think, the differences in our outlook and what’s out there.
Operator: There are no further questions at this time. I would like to turn the floor back over to Doug Black for any closing comments.
Doug Black: Okay. Thank you. So thank you, everyone, for joining us today. We certainly appreciate your interest in SiteOne and look forward to speaking with you again at the end of the year, at the end of next quarter. Would like to take one last opportunity to thank our associates, our customers and suppliers. It’s really a pleasure to be in business with such a great team, and we’re excited about our future. Thank you very much.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.